Operator: Thank you for standing by. This is the conference operator. Welcome to the NexGen Energy Fourth Quarter 2025 Results Conference Call. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Mr. Leigh Curyer, Chief Executive Officer and Director with NexGen Energy Limited. Please go ahead, sir.
Leigh Curyer: Thank you, [ Rafa ]. Good morning and thank you for joining NexGen's Year-End and Q4 2025 Financial Results and Investor Conference Call. My name is Leigh Curyer and I am the Chief Executive Officer. Today, I'm joined by Travis McPherson, Chief Commercial Officer; Ben Salter, Chief Financial Officer; and Stacey Golokin, Manager, Investor Resources, Australasia. During the call, I will highlight NexGen's milestone achievements over the fourth quarter of 2025, provide an update on recent milestones, exploration development activities and speak to the strategy and future plans for NexGen Energy. At the conclusion of this presentation, we'll move to the Q&A portion of the call, where you have the opportunity to ask Travis, Ben and myself any questions you may have. Throughout the course of today's call, we will be making forward-looking statements, so please visit our website for all the relevant disclaimers. Before we begin, I would like to thank our investors, community partners and all stakeholders for their long-standing support for NexGen's unique and fit-for-purpose approach to resource development, which is setting a new standard. 2025 was a defining year for NexGen, marked by significant infrastructure investments at site, regulatory advancements, commercial offtake agreements, exploration success at PCE, approximately $1 billion equity raise and team expansion, all highlighting NexGen's unparalleled leverage to the future price of uranium, balance sheet optimization and exploration milestones that further solidify our leadership in the global clean energy landscape. Our progress reflects disciplined execution, continuous improvement and an unwavering commitment from our team to our core values of honesty, respect, resilience and accountability. Stepping back, for the first time in many decades, we are witnessing a genuine and structural shift in global energy demand that materially benefits the nuclear energy industry. Previous years were defined by ambitious pledges and isolated demand. However, what we are seeing now is assertive and immediate action and implementation. Public policy and capital are now fully aligned to support nuclear growth for existing baseload requirements as well as AI and other high-growth technology advancements. In the United States of America, we're seeing reform to advance nuclear in a manner which hasn't been seen in the West in all of history. We are witnessing both the acknowledgment of the fragility of the supply chain as well as the actions to support and encourage activation of allied sources of nuclear fuel. This includes the recently proposed multibillion-dollar Project Vault reserve aimed at securing critical minerals and uranium supply. Importantly, these policies are designed to accelerate downstream, midstream and upstream activities. This is critical as the down and midstream build-out as it relates to nuclear fuel is significantly less of a challenge to solve. It takes money and permitting, both of which are in the control of the governments. Upstream activities, though, take regulatory support but also significant investment over a significant time. And although this is more of a focus of policy in the industry, it is going to take a significant time to solve and trigger a new Western world diversified multisource of uranium supply. In fact, it is likely that it will take decades for mined uranium supply to meet existing demand, let alone the significant growth anticipated. The U.S. alone is anticipating electrical growth of between 8% to 10% through to 2030. This is partly in response to China over the last 10 years, increasing its electrical production by more than half of the rest of the world combined. China now has doubled the electrical power capacity at half the kilowatt price of the U.S.A., a fact largely driven through the adoption of nuclear energy. Governments and industry are being tested on their ability to expand and restart facilities, advance fuel cycle initiatives and increase uranium production to meet accelerating demand. As an example, Canada just delivered the Darlington Refurbishment Project ahead of schedule and under budget. AI is rapidly becoming a material contributor to the global electricity growth and subsequently a new major structural driver of demand. The clear focus of the hyperscalers and big tech to nuclear is producing meaningful support for the expansion of the nuclear ecosystem. The U.S. Department of Energy has allocated $2.7 billion to nuclear fuel companies such as Centrus, while states like Iowa are forming nuclear power task forces to accelerate development. At the same time, large technology companies are aggressively securing long-term power supply amid intensifying competition in AI. Big Tech is increasingly underwriting new nuclear capacity. Meta, for example, signed a multi-gigawatt deal with Oklo, TerraPower and Vistra to power its AI data centers. While we acknowledge the benefits to the sector from increased hyperscaler activity, strategic critical mineral initiatives in the U.S. and continued capital flows into the uranium sector, it is important to stress that the prior underlying market fundamentals stand on their own. Even without these very persistent tailwinds, the uranium market remains structurally undersupplied with the deficit widening every year for the forecast periods out to 2050 and beyond. Despite uranium prices moving from $17 a pound in 2017 to $90 a pound today, there has been no material supply response. The past 12 months alone have delivered several downgrades in production levels. Legacy operators are facing execution challenges and key uranium mining jurisdictions remain constrained. Utilities globally are beginning to acknowledge there simply isn't enough supply available. Demand clearly supports significant contracting. The fragility of supply is even more evident in the spot market, which has had a strong start to the year in 2026. In 2025, approximately 56 million pounds traded on spot, representing approximately 40% of mine supply and 27% of total consumption. Far from a peripheral value, it is the market's true price discoverer and is what underpins the pricing in every contract signed or under negotiation. That dynamic is increasingly felt by utilities themselves. Spot purchases by utilities have surged 85% year-over-year, accounting for 1/4 of all spot volumes. The reality is, direct purchases on the spot market were made by utilities in 2025. The majority of the rest of the spot market activity is still ultimately bought and consumed by utilities through traders and other intermediaries in the market. Meanwhile, producers are selling less into spot market. Uranium producers sold just 4.6 million pounds on the spot in 2025, down sharply from 10.9 million pounds in 2022. The reason is structural. Producers are at capacity, cautious about future output and heavily committed on forward sales for the next 7-plus years. There is very little buffer in the system in the form of inventories held by utilities and producers or new supply to market. Consequently, these factors, together with the technical simplicity and low economic cost of future production [ requirements ] have informed and will continue to design our marketing strategy to offtake contracts whereby pricing will be heavily dependent on market prices at the time of delivery, hence, optimizing NexGen's status as the world's most levered company to the future price of uranium. The fundamentals remain increasingly compelling. As the structural supply deficit widens, the window to make meaningful new discoveries is now and NexGen is operating in the most valuable post code in uranium globally. While the jurisdiction of Saskatchewan, Canada is world class, our results are a function of extremely favorable geology, a disciplined strategy, combined with proven technical capability and steadfast persistence. Every drill campaign reinforces the potential for another Tier 1 discovery within our land position in the Southwest Athabasca Basin. Our basement [indiscernible] Patterson Corridor East discovery continued to deliver highly encouraging results throughout 2025. Multiple high-grade assay results, including the company's highest grade discovery phase in the state to date, inclusive of those discovered during the development of Arrow. And the mineralized system continues to expand at PCE with each exploration program driving exciting results that continue to validate PCE and demonstrate the substantial exploration potential beyond the Arrow deposit. On permitting, NexGen has now completed the 2-part Canadian Nuclear Safety Commission hearings on November 19, 2025 and February 9 to 12, 2026, marking the completion of the final stage of the federal approvals process. The depth, capability and professionalism of our team were evident throughout, with CSE staff acknowledging the exceptional quality and rigor of our submission. Indigenous community support was both strong and unequivocal with positive intervenors emphasizing the importance of a timely approval. We are extremely proud to have the formal and public support of our 4 indigenous nations within the local priority area who have continuously advocated for the project and NexGen's stewardship of the Rook I Project. The province of Saskatchewan continues to champion Rook I as a priority project and the CNSC staff have formally recommended approval of the project to the CNSC commission. This alignment across indigenous and community partners, provincial leadership to federal regulators is a testament to the strength and the authenticity of our partnership-driven development model and reflects more than a decade of disciplined technical work, meaningful indigenous and community engagement and a rigorous regulatory process. Our world-class team stays ready -- stands ready to seamlessly advance development into construction upon receipt of final federal approval. I would like to also take the opportunity to commend Denison Mines led by David Cates on the recently received approval for the Wheeler River project. NexGen and Denison represent the future of uranium mining in Canada with both advancing world-class projects. It is time for Canada to take center stage in the supply of critical nuclear fuel and to do it in a way that stewards the industry successfully into the future. We've continued to strengthen and scale our organization. NexGen is fortunate to have exceptional talent across every level of the business with over 50% of the team residents of the north of Saskatchewan. We are building on that foundation as we prepare for the next phase of growth. We have had over 4,000 applicants across 65 advertised roles over the last year and 586 applicants for 13 roles advertised in just the last month. This is an endorsement of the culture we have built, the quality of our team and the magnitude of the opportunity that lies ahead. With regard to our contracting activities, multiple offtake negotiations are progressing with utilities across the world, including the U.S., Europe and Asia. We expect to announce additional contracts in 2026, optimizing the value of each and every pound we produce. At the same time, we've deliberately maintained full strategic optionality with a strong cash position of over $1.1 billion at year-end. We have access to multiple highly accretive financing alternatives. As always, we will optimize these alternatives with discipline and with the current cash on hand, we'll continue to evaluate. Our production flexibility profile, combined with the technical setting of our project are designed to maximize the value of every pound we produce. We will always optimize our exposure to uranium prices at the time of delivery and any funding structure we pursue will incorporate that optionality. Following our successful CAD 950 million capital raise, including $600 million from Australian investors, NexGen was officially included on the S&P/ASX 200 Index on December 22, 2025. This transaction materially increased our market capitalization, liquidity, Australian institutional ownership and free float, enabling us to meet the ASX 200 eligibility. This inclusion is reflective of the strength of investor confidence in NexGen and represents an important step in broadening our capital market presence and increasing liquidity as we advance through construction and into operation. Turning to site activities. Since 2013, NexGen has safely and successfully advanced Rook I across exploration, engineering, procurement, development and supporting infrastructure, representing a cumulative investment of approximately $786 million in Saskatchewan. During Q4, site exploration programs progressed on schedule and on budget. We will be significantly expanding on-site capacity to support exploration at scale, increasing camp accommodation from approximately 220 beds to just under 600, while nearing completion of the temporary exploration of the strip and existing site access road improvements. On the project side, detailed engineering is progressing in line with the project schedule and procurement is advancing with 28 packages having gone to RFP in 2025, critical path items have been secured to allow immediate mobilization following final federal approval. The convergence of government policy, Big Tech demand, grid reliability challenges and accelerating global nuclear deployment continues to underpin uranium as one of the most critical pillars of the future energy system, setting the stage for sustained demand growth. In 2026, NexGen is positioned to capture this next phase of value creation, underpinned by a derisked development pathway, robust market fundamentals and growing global recognition of nuclear energy's role in the energy security and decarbonization initiative. We are not positioning to meet short-term market tightness. We are developing a platform capable of addressing structural global supply deficits for decades to come. This is our differentiator. Through the disciplined advancement of the Rook I and continued exploration success, we are building both immediate and material production capacity as well as longer-term growth. Our immediate focus is to transition efficiently into construction of Rook I following the final federal approval. We will execute with the same discipline and integrity that has defined our approach to date, upholding the elite standards NexGen is known for, while creating enduring value for our indigenous partners, governments of Saskatchewan and Canada, shareholders and the global clean energy future. We are prepared with the team, the asset and the timing and the capital to execute our next phase. Thank you and I look forward to updating you on our progress throughout this transformative year in 2026. Now I'll open the call to questions.
Operator: [Operator Instructions] And our first question today comes from Ralph Profiti with Stifel Financial.
Ralph Profiti: Leigh, I wanted to come back to your comments about the 65 roles and the 13 roles about sort of human resources procurement. And just wondering if I can get your comments on construction readiness of the team in those highly and technically skilled labor and that senior construction management, how you're feeling about those 2 aspects, both from an external contractors and internal management. It seems to be an issue that keeps being brought up by your competitors. Just wondering what your thoughts are, please.
Leigh Curyer: Yes. Thanks, Ralph. Look, I can tell you just what we're experiencing. I hear labor shortages is bandied around a lot in the industry and for reasons of production delays and project delays. They are our stats. We have had an enormous amount of interest in joining the company. Those stats are reflective of that. And I would say, why is that? Well, we've been planning this project since 2014. We knew immediately on discovery that we had a world-class project. And since that time and particularly since the engineering studies that the first one was released in 2017, we've been preparing for this moment. That has also led to training initiatives in the local project area that we've had in place since 2022. And we are in a region of Northern Saskatchewan, where a lot of the labor is actually working in other parts of the province and in Alberta. And the desire to come back to the local community is extremely high. And so I think it's a combination of not only our planning, our careful planning from many, many years out because I also made the point, you won't be seeing us making a final investment decision. That decision has already been made many, many years ago, subject to permitting and financing. So we have been preparing for this all along. And we are in the position where we've identified all the roles through to the end of construction. And we know exactly what we're doing, what we're building, who we're using and what is required every single day of the 48-month construction period. And the planning around that as a consequence, started many years ago and we are not experiencing a shortage of interest in any role. With respect to the senior positions in the project development team, we've got a very detailed HR plan around that. We are currently ahead of that and we'll continue to expand that in a systematic manner as we approach construction and during construction. And I'll just make the point about the profile of that experience in the team. We deliberately took operating experience and worked back to inform the design of the project. So I just want to be very clear with everyone. We've been in this position for over 10 years knowing that we're going to be building this mine. We've been planning for it for over 10 years and we are now approaching the conclusion of final approval and we'll seamlessly head into construction on receipt of that final approval. And those stats, which I mentioned in my call, are very clear evidence that, that planning from a long way out has materialized as we had hoped and planned for. And it's very exciting for the local community, for Reds, or people who fly in, fly out, or have been working in another province for many years at the prospect of coming back to the area where they were born and raised and having fulfilling sustainable employment.
Ralph Profiti: That's helpful. As a follow-up, I'd like to just ask about your important comments about policy and capital alignment and how that may influence some of the financing alternatives. I'm just wondering if there's been a change in prioritization while keeping this maximum flexibility on, say, new entrants or versus traditional buckets and specifically address, do you think there's still a need for a strategic sell-down as an option, right, on the project itself? I wonder if that's come up in the pecking order or if it's changed at all.
Leigh Curyer: Yes. No, it hasn't changed. Or I would say the change has been there's been added entrants into our environment who are looking to fund the balance of finance that we require in order to construct the project. And I would also say the amenability of interested parties have recognized our project and our approach to contracting and it's resonated very, very strongly. And we will be concluding that process following permitting. Now we have $1.1 billion in the bank. The first 12 months of construction is approximately $300 million. So we have a decent runway in order to conclude the final financing component of the project. But I would say, as a general comment that the number of interested parties has increased and the amenability towards the way we'd like to finance the remaining ask is extremely positive for the project in the sense that it will maintain exposure to the uranium price at the time of delivery of the offtake. And I think that's one of the most important aspects to take away with respect to NexGen is that our strategy is to be the most levered company in the world to the future price of uranium, we currently are and we will maintain that in every stage of our development and financing execution.
Operator: And our next question today comes from Andrew Wong at RBC Capital Markets.
Andrew Wong: So if we were to fast forward, like let's say, 6 months from now, 12 months from now, assuming you're going to get the approval for the CNSC and the work started at Rook I, what do you expect will have been accomplished within that time period? Like what should we look for?
Leigh Curyer: Well, the first component is earthworks and preparation for the sinking of both the production and exhaust shafts. There's a lot of surface preparation before the freezing and the drilling and blasting commences. But we have the freeze plant in a warehouse in Saskatoon ready to be deployed to site. So I would say relative to other construction starts for mining projects, you're going to see an immediate acceleration of activity at site over the first 6 months because the site is construction ready. And with those RFP packages already in place, we are ready to execute subject to receipt of that final federal approval. And it's going to be an incredibly exciting time for the company. So the first 6 months, as I said, earthworks and preparation for the drilling and blasting of the shafts.
Andrew Wong: Okay. Great. And then just the initial CapEx number for Rook I, I think the last update you had was about 2 years ago now. How comfortable are you still with that $2.2-ish billion figure?
Leigh Curyer: Yes, it's CAD 2.2 billion. Obviously, it's been subject to inflation. But with the advancement of the engineering, we have seen no material movement in that number with respect to the overall capital requirement. I want to be clear, people ask me in terms of construction, what's the most complicated component of the construction. I want to be clear, this, in a mining sense, has very strong technical characteristics. It's incredibly high-grade project and in competent basement rock. So from a mining perspective, it's one of relatively simpler constructions that we will undertake. The other aspect, too, is we've been planning for over 10 years. We've revised and reviewed everything we're doing. We know exactly what we're doing day in, day out. For those who want to look at the risk within that, the first 100 meters of sinking the shafts is where the ground is most variable. Once we're in the basement rock, the cost and schedule variability of the overall capital cost goes down pretty close to 0. And -- but having said that, we have over 400,000 meters of drilling where we know every inch of those ground conditions in the first 100 meters and down to 900 meters. So I just want to convey or give the opportunity to explain that we have a very strong awareness of the ground conditions. We know exactly what we're doing every day of that 48-month process, who's doing it, who's responsible for it within NexGen. And as I said, once we're in that basement rock, the highest risk around cost and schedule has been mitigated. And that will be happening in the first period of the whole construction of the Rook I project.
Andrew Wong: Great. And just a quick one on just some of the infrastructure and logistics details for the initial construction. What's the plan for power availability for construction? I know the final mine plan is LNG. Is that also being used for construction? And then just on road access, like with Highway 955, like are there any upgrades that are required? And how about that -- the access road to Rook I, like what's the status of that upgrade there?
Leigh Curyer: Yes. It's -- it will be LNG during construction as well. Highway 955 provincial highway, we work very closely with the Saskatchewan highways department in terms of ensuring that, that road is maintained in terms of servicing the project. Premier Moe has made an absolute undertaking to ensure that, that road is maintained in a manner which facilitates the increase in traffic as a result of construction activities. So look, we've been working in the area since 2013. We know the logistics of movements in and out of the project and what is scheduled on it on a daily basis throughout that 48-month project. And we've been working with the Saskatchewan highways department all along. And it will be -- that won't be an issue when it comes to the construction of the project given the planning and the commitment from both NexGen and the government of Saskatchewan.
Operator: And our next question today comes from Graham Tanaka with Tanaka Capital Management.
Graham Yoshio Tanaka: Congratulations on your progress so far. I'm wondering, as you layer on some more offtake contracting agreements, will you be possibly taking on multiyear orders or contracts with hyperscalers, AI hyperscalers, sovereign nations or other large entities that could -- and what percentage of your production anticipated in the first 5 years would you be willing to sign up before you start production actually? And then I have some questions about exploration in PCE, Patterson Corridor East.
Leigh Curyer: Sure, Graham. And so with respect to -- we currently have 2 million pounds contracted over the -- per year over the first 5 years. We break even at 3.5 million pounds. So the requirement to offtake substantial quantities between now and during construction leading to production is almost completely mitigated even as I speak today. But look, we saw 2 transactions in the last 2 weeks with India, a large offtake -- 10-year offtake agreement with Kazakhstan and then we saw Cameco do a 10-year agreement with India as well. It's fair to say the demand coming from the Asian region for offtake is very, very strong and is typically spanning a 10-year period with respect to what they are seeking. We are right at the cusp of that and very well aware of that demand and navigating it accordingly in line with our offtake strategy, which I mentioned during the call and mentioned consistently when asked about it. So to answer your question, we are -- we have a number of offtakes under advanced negotiation. You will see additional contracts in 2026 but the requirement to have them in place prior to going into construction or prior to into production has been completely mitigated already. With respect to PCE, we have 4 rigs drilling in and around that area as we speak. It's a 42,000-meter program. And that is a combination aimed at expanding the footprint and also the high-grade heart within the area of mineralization at PCE. We also will be testing a parallel structure alongside of PCE throughout the course of this year as well and then also a target on our SW3 land package which is to the east of Rook I. As mentioned, it's an embarrassment of exploration riches that we have ahead of us. And I like the size of that program as we currently speak, which is occurring in parallel to all of the development activities at NexGen. So it to be multifaceted is a great position to be in.
Graham Yoshio Tanaka: Okay. So given the fact that it's taken over 10 years to get Rook I in place and to be receiving approval to proceed, when do you need to start in earnest with negotiations of environmental applications, regulatory applications, et cetera, for a Patterson Corridor East, would it take as many as 10 years so that the second mine will take 10 years to bring on? Or could that come on faster?
Leigh Curyer: Look, it would all be subject to permitting approval. But I think in principle, given that we -- the PCE is the same mineralizing event as what is Arrow. Obviously, clearly, something very significant mineralizing event occurred in the area. It is the same mineralization. Conceptually, you'd run a drift from the underground workings at Arrow to access PCE. You'd be bringing it up through the same production shaft as Rook I and going through the same mill. So conceptually, I -- my view is that, yes, that is a most likely development path. When? As I said, it would be subject to permitting. We will probably do a study on it in either -- most likely in 2027, '28 as we're up and running in construction to see what it looks like. And after we've established a maiden resource for PCE. So look, it provides tremendous optionality and long-term growth for NexGen. And we'll do that once we are in a position to do so and without compromising the construction time line of Rook I and getting that into production. So first things first, we'll focus on Rook I. And as PCE materializes and we've defined a resource, we'll then look at the economics of those type of development scenarios. I don't -- the infrastructure all being up and running at Arrow and the fact that it's the same mineralization, et cetera, I think, in principle, provides maybe a shorter pathway. But I don't think we will have -- we've got enormous amount of ore to extract out of Arrow before we branch out elsewhere. And so it's a -- we'll navigate it accordingly in light of the market at the time as well.
Graham Yoshio Tanaka: My concern is that a few years down the road, we may see such a very, very tight market for uranium. Prices could be a lot higher. And I'm wondering what would be your flexibility to be able to accelerate a second mine if, say, prices got to, I don't know, somebody -- you please -- you choose a figure, $200. I don't know, $150, what would...
Leigh Curyer: Graham, you throw out $200. Well, the previous high for uranium was $136 in the mid-2000. That's over USD 200 a pound in today's terms. I think that's very -- that -- the likelihood of that occurring is very real in the coming years. We've been very, very clear on that. We think that, that pricing scenario is a very likely consequence of the demand and supply worldwide for uranium and the current fragility around mine production. We are on it. We need to define the resource first at PCE -- having -- going forward, 4 to 5 years from now, we're up and running and in production, yes, we would look at those scenarios. I think it, in principle, will be a far more shorter time frame, a far shorter time frame than starting from scratch as what we've done since 2014 at Arrow. So the good news is, it's not a concern. It's a opportunity for us and one that we are well aware of. And I think your scenario that you're outlining is potentially a very real outcome in the future.
Operator: And our next question comes from [indiscernible], retail investor. All right. And I do apologize. We'll move on to our next question. It comes from [indiscernible], another private investor. All right. I do apologize. It looks like we're having some issues with their audio there. So we'll move on to our next question, which comes from Mohamed Sidibe with National Bank.
Mohamed Sidibe: So I just wanted to ask, on the first 12 months of construction, you noted about an estimate of $300 million and I think you're well cashed up at this point in time. So in terms of your financing needs for the remainder of the project, is there a certain time line that we should be looking for? Is this something that you expect to have in place prior to start of construction? Or given the flexibility that you have is something that could go into 2027?
Leigh Curyer: Yes, very good question. I might start with the question and then hand over to Travis. Yes. Look, we have $1.1 billion in the bank. So -- and that first 12 months construction spend is only less than 1/3 of it. So we do have time on our hands. We have been working on concluding this final financing component of the CapEx for quite some time now. And so I think the easiest or the best way to explain the timing around us concluding that will be anywhere from now to 18 months from now. And that's about as simple as I can answer that. And so the -- what I would say and can say at this point in time, the interest is vast and in line with our expectations around maintaining absolute leverage to the future price of uranium at the time of delivery. So we've always been -- Mohamed, we've always been very conservative with our financing and when we do raise money well ahead of time. And I think this component will be -- will also match that characteristic of ours, which we demonstrated since 2013. So we won't be running that $1.1 billion down to 0 before we make a decision. But these are highly complex negotiations and they do take time. But we have been working on for a substantial period of time now. And I think -- just watch this space, anytime between now and 18 months from now, we'll have that package finalized.
Mohamed Sidibe: And just second question on the construction readiness and ahead of the potential start of construction. I think you noted that the freezing equipment and the shaft sinking materials are -- the freeze holes are in place. But are there any other critical path contracts or items that we should be keeping an eye out on over the next 6 to 12 months in order to get you ready for the shaft sinking process?
Leigh Curyer: Yes. I'd just like to clarify, the -- it's the freeze plant that is in a warehouse in Saskatoon ready to be deployed to site. The holes that have been drilled around the circumference, proposed circumference of both the production and exhaust shaft were holes to geotechnically inform the sinking of the shafts. We do not have the freeze holes in place that would define it as construction. And to your second question, I'll defer to Travis around those packages and our preparedness for the first 12 months of construction.
Travis McPherson: Yes. Thanks, Leigh. As Leigh mentioned, the first 12 months is really defined by site prep and the pre-sinking activities. So in terms of major packages, the shaft sinking package is a big one. And then on the procurement side, temporary water and temporary power are the 2 ones this year that are the major procurement activities, which are obviously, as Leigh mentioned, well advanced and kind of in their contract negotiation, final contract negotiation stage on the last 2 and the shaft sinking one is effectively in hand as we speak.
Leigh Curyer: And I'll just make the point that once we have approval, we will be putting out a very clear detailed construction time line, which highlights all the milestones along the way. Obviously, we're very respectful of the CNSC process. And once that's concluded and we have construction approval, that's when we'll announce and be very transparent with all investors with respect to key milestones within that construction schedule over that 48-month period.
Operator: And that concludes our question-and-answer session. I'd like to turn the conference back over to Leigh Curyer for any closing remarks.
Leigh Curyer: Yes. Thanks, [ Rafa ] and thank you for everyone who's listening today. Look, incredibly exciting time at NexGen. We have an incredible project, an incredible team highlighted through -- for those who watched the commission hearing. It really did showcase the depth and breadth of experience of the team. And we've been planning this for many, many years. And so we're coming up to an incredible milestone for the company but one which its immediate focus is on construction execution. This is what we've been working for since 2014 and our preparedness for it is clearly evident. So I'd like to thank you all. Look forward to speaking to you again at the Q1 2026 conference call. And please don't hesitate to contact anyone of the team if you have any other questions from today's call. Thank you.
Operator: Thank you. That brings to a close today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.